Operator: Good day, ladies and gentlemen, and welcome to Papa John’s Third Quarter 2014 Conference Call and Webcast. At this time, all participants are in a listen-only mode. Later, we’ll conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions) As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference, Lance Tucker, Chief Financial Officer. Sir, you may begin.
Lance Tucker: Thank you, Nova. Good morning. Joining me on the call today from China, our Founder, Chairman, CEO and President, John Schnatter; COO, Steve Ritchie and CMO, Bob Kraut, other members of our senior management team are present with me here in Louisville. We appreciate you joining the floor earlier than usual in order to accommodate the time difference between the U.S. and China. After a brief financial update, John and Steve will have comments about our business and the management team will then be available for Q&A. Our discussion today will contain forward-looking statements that involve risks relating to future events. Actual events may differ materially from the projections discussed today. All forward-looking statements should be considered in conjunction with the cautionary statements in our earnings press release and the risk factors included in our SEC filings. And all statements made on this call are as of today. Please refer to our earnings press release in the Investor Relations section of our website for reconciliation and other disclosures related to our discussions of non-GAAP financial measures on this call. Unless otherwise noted, all comparisons are versus the comparable periods from a year ago. This call is being taped and a replay will be available for a limited time on our website in a downloadable podcast format. Now, on to the discussion of our third quarter operating results; diluted EPS from the third quarter was $0.39, up 22% from the prior year. Our third quarter revenues increased 13% versus the prior year. We continue to see strong cost sales with increases of 7.4% for North America and 5.5% for international, as well as 5.6% increase in the number of units operating globally on year-over-year basis. In addition, higher commodity prices drove increased PJ Food Service revenues. We opened 50 net global units in the third quarter with 23 net international opens and 27 net North American opens. On a business segment basis, operating income for domestic company owned restaurants was up $2.6 million in the third quarter. Incremental profits from our 8.3% corporate accounts were partially offset by the impact of continued high commodity prices. Operating income for the North America Franchising segment increased approximately $2.5 million in the third quarter, due primarily to the increase in net units and comparable sales of 7.1%. Operating income for domestic Commissary segment increased by approximately $2.4 million in the third quarter, due primarily to higher margins. We expect the commissary pre-tax profit margin percentage to approximate the 2013 margin on a full year basis. Operating results for International segment increased approximately $500,000 in the third quarter, due primarily to 5.5% counts and a higher number of units on a year-over-year basis. We are very pleased with the overall growth of our international portfolio which has allowed us to grow at a strong pace quite the occasional growing pains, it come with growing a global brand. John and Steve will speak more to China in a few minutes, but as we communicated earlier this year, our financial results in our corporate owned and more China market are not improving its pace we projected entering 2014 and we currently project profitability for the full year to be relatively flat with 2013, once one-time items are removed. Our third quarter results do include a $700,000 impairment charge to impair 8 underperforming restaurants in that market. Unallocated corporate expenses increased $3.7 million, due primarily to higher depreciation of $1 million, higher interest expense and non-controlling interest cost of 800,000 and higher G&A of $1.5 million driven by insurance costs, professional fees and annual compensation increases. Our effective tax rate was 30% in third quarter, approximately flat with the prior year. We repurchased approximately $31 million of stock in the third quarter; the company has approximately 140 million of remaining share repurchase authorization. Our free cash flow in non-GAAP measure we define as cash flow from operations less capital expenditures was approximately $61 million for the trailing 12-month period. Our net debt position defined as total debt less cash and cash equivalents was approximately $208 million at the end of the third quarter. We have now rolled our FOCUS, our new POS system to over 50% of our domestic restaurants and we expect the majority of the units to be installed by the end of the first quarter of 2015. From our financial statement perspectives, FOCUS cost reduced EPS by $0.02 in the third quarter versus the prior year. As a reminder about one-third of FOCUS cost are one-time and the remaining two-thirds will be recurring as they are depreciation expenses. Finally, we increased our 2014 full-year diluted EPS guidance to a range of $1.68 to $1.74 from our previous range of $1.64 to $1.72 and we increased our North America comp sales to a range of 5% to 7% from our previous range of 4% to 6%. And now, I’d like to turn the call over to our Founder, Chairman, CEO and President, John Schnatter. John?
John Schnatter: Thanks, Lance. Good morning to everyone. We’re glad you’re able to be with us on the call today as we discuss our third quarter results. Our momentum continued in the third quarter and we’re now in the home strategy which has been an excellent 2014 for Papa John’s. Our franchisees and operators around the world continue to execute the fundamentals and deliver on our better ingredients better pizza brand promise everyday and the results largely speaks for themselves. Our 7% at North America comp sales in Q3 is a clear indication that consumer continue to prefer a better quality Papa John’s pizza and these strong sales levels led to excellent Q3 earnings growth despite continued commodity headwinds. There is now one individual factor that is driving our results, it simply continues to hit on nearly all cylinders with all areas of our business doing their part. Our pizza quality, service levels, distribution, marketing, digital capabilities, all these areas continue to get better. And to continue this success our focus is on continuous aim to get a little better every day and in exceeding our previous best and to helping our franchisees and corporate operators as they deliver the best pizza experience in the industry. Now just as our quality leadership position continues to help us gain market share, our digital leadership position is also integral in the Papa John’s gross store. We continue to set the pace in the digital arena and now derive just under 50% of our domestic system wide digital sales from this channel. But reaching 50% digital mix and beyond really isn’t the main story. A relentless focus on delivering the best possible pizza experience to our customers is the real point and we believe our easy to use digital ordering channels combined with a highest quality ingredient and demonstrably superior service are elevating Papa John’s in the minds of consumers. Now switching gears, our marketing team and our new agency Grey have developed the strategy and created that are taking our brand to even higher levels. The early returns from this change indicate that we are accomplishing our objectives of taking a strong brand and making it even better. Next, I’d like to briefly comment on our international business which overall continues to perform very well. Continued good comps and units allowed us to grow our international profits as a good split despite taking a charge to write down the value eight of eight of our north China restaurants. Beijing continues to be a challenge and I am here with Steve Ritchie up here and others on the international team to continue our evaluation of what we need to change to be more successful in the China market. We will keep you informed as we progress but expect changes we’re making to improve our position here in China over the long haul. With that I’ll turn over to Steve Ritchie for his remarks. Steve?
Steve Ritchie: Thanks John. And I’ll start by adding my congratulations and thanks for our franchisees and operators around the world for continuing deliver on our brand promise. At Papa John’s we have built the culture of passion and pride for quality. This quality mantra drives our vision for excellence in everything that we do. We have always strived to not only provide better ingredients but also develop better people, better technology, better branding and better customer experiences. This focused vision is what enables our strong results and ongoing success. Now on to our impressive third quarter, the competitive environment during the quarter remains largely unchanged from what we’ve seen throughout 2014, aggressive pricing and value offers across the category. Our system once again responded well with excellent comps driven by good execution, good LTOs and strong local and extra marketing. 2014 will be our 11th consecutive year for flat or positive comps. So we have shown we can consistently deliver good results almost regardless of the environment. While some quarters in years are better than others, we strive to avoid the highs and lows and deliver steady and sustainable growth over time. Our strategic initiatives through 2014 continue to drive successful results and are the catalyst for increased full year domestic sales guidance of 5% to 7% acknowledging that we believe the steps we have taken give us a solid opportunity to roll over the strong 9% comps in Q4 of 2013. As John noted, technology continues to be an area as the prime factor in growing our sales and market share demonstrated by our industry leading online sales mix. In addition to providing multiple convenient layers of order, we continue to thank our customers and build loyalty coming to Papa John’s through our Papa Rewards loyalty program. Our customers really like the simplicity of the program and being rewarded with free pizzas. Like Papa Rewards we will continue to make digital innovation investments in the areas that most significantly enhance the overall customer experience. Also on the technology front during the quarter we continue to rollout of our new point of sales system that began in Q1. We continue to expect new system which we call FOCUS to have a positive impact on store-level operations and the customer experience. As Lance mentioned, we are now 50% complete with the rollout in and on track to substantially completed by the end of Q1 2015. Our development remains on track as we continue consistently opening global units. During the quarter, we opened 59 net global units with roughly equal units domestically and internationally. Our global development pipeline remains very robust and we continue to receive strong interest from perspective franchisees around the world. Turning to our international business, we are pleased with the comp sales increase by 5.5% through the quarter. Overall, all our international markets performed very well in the quarter that we were held back a bit in China due to the OSI incidence. I do want to highlight our continued strong performance in the UK, Russia, GCC and throughout the Middle East and Latin America. As in the U.S. quality pizza at a good value combined with great execution resonates with consumers. As John mentioned, however we still have opportunities for improvement in North China. We are here in Beijing this week assessing our overall operation and will be making further enhancements to our marketing, menu and model to improve our brand positioning, sales and profitability. As we have said before it takes time to build brand recognition and profitability in new markets but we remain committed to North China as we believe it will become a strong market to Papa John’s. So, we continue to remain bullish on the long term prospects of our international businesses will evolve into the growth engine for Papa John’s. In closing, the three quarters in the books it has been an outstanding year thus far for Papa John’s and we’re working hard to finish the year strong. Our commitment to delivering on our better ingredients, better pizza, brand promise has never been stronger and we’ve decided about what the future holds as we continue to consistently grow the Papa John’s brand. And with that, I’ll turn it back over to Lance for questions. Lance?
Lance Tucker: Alright. Thank you, Steve. Nova, I believe we’re ready for questions.
Operator:  (Operator Instructions) Our first question comes from the line of Alex Slagle of Jefferies. Your line is open.
Alex Slagle - Jefferies, LLC: Thank you. Question on the international profit growth and I guess it's still being a little slower than you’d like to accelerate in a really big way and sounds like some of this in the third quarter with the OSI impact in Beijing stores, but just about to get a little more color on your thoughts on how we should think about this business, the opportunity to really turn the corner on ramping the profitability more significantly and how far away this inflection quite might be in your view?
Lance Tucker: Alex, this is Lance, I’ll start and then I’ll let Steve and John jump in there from China. On a segment basis, we were up $500,000 in international and after subtracting the $700,000 impairment charge. So, we were up a 1 million to kind of an operating results which is actually pretty significant growth that we’re pleased with, I’ll let John and Steve jump in from there, but I want to make sure you're aware this operating growth is really about a 1 million too for the quarter so pretty strong.
Steve Ritchie: Alex, this is Steve, I think the obvious is stated in the prepared remarks corporate China being the predominant amount of set back in the third quarter most of that related to the impairments and some of that as we spoke to you before on the model having two different models here on our restaurant base delivery model, the other being our delivery and carry-on models that we focused primarily on the last two and a half years from a developed perspective. So, we had some rough patches with some of the Delco Units, but you think about the way forward we put confidence in the impairment that we have taken this is a good platform to springboard off of as we go into Q4 into 2015.
John Schnatter : Alex, this is John and frankly slow profit growth is always too slow for all of us, not just international but profit growth never grows fast in a quarter.
Alex Slagle - Jefferies, LLC: Thank you. One question on the last quarter you talked about the efforts to bring the drivers and transportation in-house and just wonder to what extent the lower fuel cost might be a tailwind for you going forward does that trend continues and then the other comments on sort of why you made that change and how that initiatives helping your speed and accuracy?
John Schnatter : Alex, this is John. Let me clarify the question, are you talking about the drivers that drive our semis in a Commissary because if that’s the question I’ll answer or if you're talking about the drivers in the stores I’ll let Steve Ritchie answer that question.
Alex Slagle - Jefferies, LLC: Well, I guess the part of the business that you brought in-house that you're working on in this year the drivers in the transportation.
John Schnatter: Yes, again this is John and I think I can help you, it's going great. The culture of Papa John’s really is one that attracts really quality people, we go over from where we were like 80 drivers short to where we are right now 40 drivers over, but we out an incentive in place for on hand accurate deliveries and the drivers have embraced it. The scores on the matrices for PJ Food Service are up by 30% so it’s been a really good thing.
Alex Slagle - Jefferies & Company: Thanks a lot.
Steve Ritchie: Alex, this is Steve I’ll just add to that an echo that John had stated I mean you talk about the drivers that are working in house and the efficiencies that we look for the efficiencies at the restaurant level. So there is an investment that comes via food service that payback received some of the efficiencies in our corporate and our franchise owned restaurants. As I think you are aware we have verbally committed and agreed upon overall margins that we taken through the food service so most of that will flow through and will still hit our overall and a year overall margin pretty good.
Operator: Thank you. Our next question comes from the line of Peter Saleh of Telsey Advisory. Your line is open.
Peter Saleh - Telsey Advisory Group: So a couple of question, I guess first on the China. The 8 stores that were impaired I guess first question is, were those legacy stores from the previous franchisee or are those stores that Papa John’s opened once you guys took over that market?
Lance Tucker: Peter this is one Lance…
Steve Ritchie: Go ahead Lance if you want to take that.
Lance Tucker: Yes, I’ll take that one. All the stores were opened since 2010 we’re not going to get into specific detail on the stores but all of them were opened since 2010.
Peter Saleh - Telsey Advisory Group: Okay. And then should we expect more of these stores to be impaired or any of them on the customer being impaired?
Lance Tucker: Go ahead Steve.
Steve Ritchie: Go ahead Lance.
Lance Tucker: All right Steve I’ll start with that one and then Steve can add to if he need to. We’ve impaired the restaurants that we believe are overvalued certain John, Steve, Bob and others were in market evaluating things. But we’ve impaired everything we felt like we needed to impair so we’ll just have to see how it goes from here I can’t answer that definitely.
Peter Saleh - Telsey Advisory Group: Alright. And then just second one on China for a minute. Why do you guys still feel the need to compete to own that market in China? Why not look for another qualified franchisee that maybe able to run it on the ground there?
Steve Ritchie: Peter, it’s Steve and I’ll take a tab at that first and John will likely will have to comment as well. We’re in the markets actually this week in fact we’ve been in stores that is all day long clearly if you look at the financial results we’ve had over the last several quarters from a financial perspective we’ve got some improvements that are needed in the market. So I think our number one priority and our attentions are really turn around some of the challenges we have from marketing, the menu and the model standpoint. Long term that is one of the options that are on the table I think that you can kind of see this is the only international market that we own corporately. So long trend that is a possibility but not until we get things and good working orders and we definitely feel like we’ve got a good overall strategy and some key initiatives from an enhancement perspective related to sustain to that kind of measure.
Peter Saleh - Telsey Advisory Group: Great. And then just last question, Lance I believe you mentioned that the domestics comps had a profit I believe I heard this correct with the margin would be similar to 2013. If that’s the case implies 4Q commissary margins will be up significantly. Can you just talk about some of the drivers there and the pricing that you guys are taking with the franchisees?
Lance Tucker: I’ll start with that and then I’ll let John or Steve go out there I mean clearly we’re not got to go into a whole lot of detail around the pricing around, certainly around specific commodities. What I can tell you is we have altered some of our pricing strategies and now are pricing more frequently so we are pricing monthly that’s something we alluded to on the prior call that we would be taking a look at. So we’re going to try to remove the good bit of volatility that you have seen over the last several quarters. And what will look similar to 2013 is the overall pretax profit margin. But it’s going to look very close at the operating level too whether or not it’s going to exactly line up. It’s hard to say. But we will be on target to do what we thought we’d do this year. In food service the margins will look real close to what you’ve been seeing in prior years.
Peter Saleh - Telsey Advisory Group: Great, thank you very much.
Operator: Our next question comes from the line of Mark Smith of Feltl and Company. Your line is open.
Mark Smith - Feltl and Company: First off could you guys discuss international closures, just a little bit? Can you talk about where that came from?
Steve Ritchie: Mark, it’s Steve I’ll jump on that first and comment and the other folks. As you may be aware we have two separate franchise businesses within the last year. We had a very successful business in Moscow which is the vast majority of our units within Russia and as I alluded to in my prepared remarks is one of our strongest performing markets in all the international business. On the other side of that we have 15 stores in St. Petersburg. We most recently terminated the agreement with our St. Petersburg franchise so that’s what showing predominantly showing up there on the closure piece in the international business. But that being said, we’ll be looking quickly to find another franchisee to get back at St. Petersburg because this is a very viable market and strong potential, very similar kind of field and success metrics as we’ve seen in the Moscow market.
Mark Smith - Feltl and Company:  And then did you guys confirmed you’ve given guidance in the past on unit growth this year did you guys confirmed that guidance?
Lance Tucker: Hey Mark, this is Lance, we did it is 220 to 235.
Mark Smith - Feltl and Company: And then maybe for Lance, well some of the focus roll-out cost continue to slightly into 2015 or do you feel like you're going to get that wrapped up in fourth quarter? 
Lance Tucker: As Steve mentioned in his remarks, we think we’ll be substantially complete by the end of the first quarter. There will be a little bit of roll over cost in the Q1 but I think it out of the relatively immaterial. Frankly we will get 2015 guidance in late February, but its most of the stores will be done this year which means most of the cost are coming this year, just bear in mind that depreciation is not going to go away.
John Schnatter: Hey Mark, this is John, if you remember equity Q1 Okay earning, we were giving our forecast because until we got focus what we thought was going to be successful and rolled out the 1,500 plus stores and had two or three quarters on a relative comp that we were only conservative in our estimate and we’ve had great first three quarters FOCUS is when we’re going to raise our estimate.
Mark Smith - Feltl and Company: Then last for me last year you guys did some investments in DC this year FOCUS roll-out, is there anything on the horizon which you should be looking at as far as capital expenditures in big projects down the road?
Lance Tucker: Mark, it’s Lance. So last year we did the New Jersey, low production facility this year of course we had our FOCUS development cost of CapEx each in the last two years has been a little bit higher than you would typically see. We will give guidance in February of ’15 rather, but I will go on and share that there is no major initiatives from a CapEx standpoint that’s going to have that numbers how that it was this year certainly.
Mark Smith - Feltl and Company: And maybe I’ll add one more on that, you may have more free cash flow next year is there any change in your outlook on use of cash you guys have been are you going buying back stock, any new thoughts on increase dividend anything else where may use of cash? 
Lance Tucker: Mark, this is Lance, I’ll start and then I’ll let the guy from China jump in if they need to, but no real change expected legally repurchasing shares is an important thing for our model we’re going to continue to do that and of course we’ve implemented the dividend, we raised it a couple of quarters ago and certainly wouldn’t commit to doing that for next year, but that’s not in the Board with the rest, no real change though in our plans for cash.
Operator: (Operator Instructions) We’re showing no further questions in the queue at this time. I’ll turn the call back to you Mr. Tucker for closing remarks.
Lance Tucker: Alright, Nova thanks and again thanks everybody for joining us a little bit early. We will have our next conference call in February to report full year results. Thanks have a great day.